Operator: Welcome to the AZZ Incorporated second quarter 2010 financial results conference call. (Operator Instructions) I would now like to turn the call over to Mr. Joe Dorame. Mr. Dorame, please go ahead.
Joe Dorame: Good morning. Thanks for joining us today to review the financial results for AZZ Incorporated for the second quarter of fiscal year 2010, ended August 31, 2009. As the operator indicated, my name is Joe Dorame. I am with Lytham Partners and we are the financial relations consulting firm for AZZ Incorporated. With us today on the call representing the company are Mr. David Dingus, President and Chief Executive Officer and Mr. Dana Perry, Chief Financial Officer. At the conclusion of today’s prepared remarks we will open the call for a Q&A session. Before we begin I would like to remind everyone this conference call includes statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time to time in documents filed by the company with the SEC. Those risks and uncertainties include, but are not limited to, changes in customer demand and response to products and services offered by the company including demand by the electrical power generation markets, electrical transmission and distribution markets, the industrial markets and hot dip galvanizing markets, prices in raw material costs including zinc and natural gas which are used in the hot dip galvanizing process, changes in the economic conditions of the various markets the company serves, foreign and domestic, customer-requested delays of shipments, acquisition opportunities, currency exchange rates, adequate financing and availability of experienced management employees to implement the company’s growth strategies. The company can give no assurance that such forward-looking statements will prove to be correct. We undertake no obligation to affirm publicly, update, or revise any forward-looking statements whether as a result of information, future events, or otherwise. With that having been said I would like to turn the call over to David Dingus, President, and Chief Executive Officer of AZZ.
David Dingus: Thanks to each of you for taking the time to join us today for the conference call for our second quarter of fiscal 2010. Despite the economic and served market conditions that we faced, the company is pleased to report another excellent quarter. For the second quarter revenues were $95.2 million compared to $103.3 million in the same period last year. Net income was very strong at $11.1 million. Earnings per share were $0.89. As we had projected, backlog was $139.4 million and did reduce $10.7 million in the second quarter when compared to our first quarter. The increase in domestic and international quote activity which we reported in the first quarter of 2010 has continued into the second quarter. The primary increases have been in our power generation, transmission and distribution markets. While some of the increase can be attributed to the budgetary quotation of new projects that have yet to be released, it is still encouraging that overall project activity appears to have increased. The release of orders for new and existing projects remains sluggish and we have not seen any decrease in the extended evaluation period we have witnessed over the past several months. We anticipate the slow and selective release of orders continuing into our third quarter and fourth and while it is difficult to forecast the timing of order releases in these market conditions we would anticipate that it will be the first quarter of our fiscal 2011 before we start seeing a rebuilding of our backlog. Our international quotations are strong and we did secure two significant international orders in the second quarter. One for a Canadian project and another for a nuclear project in China. We are pleased to date we have seen few cases where customers have requested delays in delivery of orders which are in our backlog. Additionally, cancellations have been minimal. Based upon customer requested delivery dates and our production schedules, 65% of our backlog is expected to ship in the current fiscal year. Of the backlog of $139.4 million, 43% is to be delivered outside the United States. Operating margin for the electrical industrial segment was a record setting level of 22%. Volume for the quarter was up 7% when compared to the prior year and operating income grew 23%. We continue our pricing discipline, improved project management and were assisted by favorable costs of key commodities. Operating margins for the first six months were 20% and compared favorably to the 17% in the first six months of last year. Galvanizing demand continued to be below our record setting pace of last year. Our continued commitment to quality and service, the close attention to all operating performance criteria combined with favorable cost commodities led to another outstanding margin performance quarter. Second quarter margins were 31%. The price of zinc purchased has continued to be in the low 80 range for the past several weeks. Without some price recovery we may see an adverse impact on margins in the fourth quarter of our current fiscal year. The impact of the decrease in the petroleum demand for galvanizing services has been greater than our expectation. However, increases for galvanizing services in the electrical transmission, distribution and renewable has been stronger than we thought. Competitive forces on pricing continue to be mixed with some deciding to maintain production levels regardless of price and others deciding to follow a more disciplined approach. For the most part, within our served territories the industry has resisted massive price discounting despite lower demand. As a company, our accomplishments have continued as we have doubled and re-doubled our efforts to better position the company for a market recovery and continue to efficiently and effectively execute on the business that we do have. The strength of our balance sheet, our strong cash position combined with access to borrowing under our existing banking agreement should facilitate the execution of our business strategy. The completion of another excellent quarter, the financial strength of the company, successful identification and assimilation of strategic acquisitions and a great group of employees is reflected in our strong operating results and in the confidence of our future. We do believe we are structured for sustainability and we continue to navigate through challenging waters in this period of extreme economic uncertainty and continue the execution of our strategy. Now with that as an overview of our results, Dana will now give us a review of the operating results for the second quarter and the first six months of 2010. Dana?
Dana Perry : Thank you David. I would also like to welcome each of you to our second quarter conference call. For the second quarter the financial results remained strong during these adverse economic times. AZZ recorded revenues for the quarter end of $95.2 million as compared to $103.3 million in the prior year. Net income for the quarter was $11.1 million as compared to $11.3 million. Diluted earnings per share were $0.89 as compared to last year’s $0.92. Given the economic environment we are operating in, we are continuing to be pleased with our second quarter results. The book to ship ratio for the quarter was 89% compared to 74% at the end of our May 2009 quarter, ending the quarter with a backlog of $139.4 million. The backlog at the end of our May quarter was $115.1 million. While our quotation levels, as Dave indicated, have remained strong, we have not seen a corresponding increase in our incoming order rate. The backlog should start to see some modest improvement in the first quarter of 2011. Our electrical and industrial segment generated 58% of our revenues for the quarter while our galvanizing services segment generated 42%. We anticipated that 58% of our revenues for fiscal 2010 will be generated from our electrical industrial products business and 42% from our galvanizing services. At this time, David will give us an overview of the electrical industrial segment.
David Dingus : The industrial and petrochemical demand for our power distribution and motor control centers has significantly slowed when compared to fiscal 2009. The timing of new projects and release of orders related to energy infrastructure, rebuilds, expansion and upgrades remains an issue and is impacting incoming order rates. We believe that most of the projects will eventually go forward but we are unable at this time to fully assess when these projects will be released. There is some level of optimism within the industry we will start seeing some recovery in the spending of the petrochemical companies. The low utilization levels of the existing manufacturing capacity is also having an adverse impact on new industrial orders. The demand for our metal clad outdoor switch gear products did see a continuation of flat demand during the second quarter. While it definitely has reached a plateau, it does appear to be holding at a current level. We will continue to monitor closely the announced budgeted utility spending levels for calendar 2010. Quotations and orders for our high voltage transmission [bus set] products were again at strong levels and reflect strong international demand. Pricing continues to be a major challenge on the very large, high profile orders, particularly in China. We have remained consistent in our pricing and have seen some improvement in competitive pricing levels but it is still too early to forecast that discipline has returned to the pricing of products in China. Increased U.S. infrastructure spending on the grid would provide additional opportunities for years subsequent to our fiscal 2010. The power generation market remains strong and while some schedules are shifting overall we believe the market is relatively stable. Domestic emphasis on renewable such as wind and solar energy and environmental upgrades should continue to positively impact our market opportunity. We did see some increased pricing pressure in the domestic market for power generation in the second quarter. Our specialty lighting product sales were down due to reduced petroleum and industrial demand and we do not anticipate any additional volume improvement until there is some economic recovery. Our product development efforts continue and we will continue to very possibly position ourselves for market improvement. Our tubular products for the petroleum market is operating at very reduced levels primarily due to the lower selling price of gas. We believe that they will remain at this level until we see sustained increases in the pricing of oil and natural gas. Dana will now cover the operating results for this segment.
David Dingus : In our electrical and industrial products segment we recorded revenues for the quarter of $55.6 million which compares to our prior year results of $52 million. Our increased revenues were generated as a result of increased shipments from our record backlog that we achieved in Fiscal 2009. Operating income for the quarter was $12.1 million as compared to $9.8 million and operating margins of 21.8% for the quarter compares to 18.9% in the prior year period. Our operating margins and profit improvements for the year are attributable to the leverage gained from our increased volumes, improved operating efficiencies and favorable commodity prices. At this time David will give us an overview of the galvanizing segment.
David Dingus : Our strategy to provide a premium level of service and quality to our customers has continued and will continue as we will resist downward pricing pressures. Revenue dollars will be impacted in future periods as market pricing is required to be adjusted further as a result of reduced demand. A significant portion of our business is reflective of the GDP as well as the infrastructure build out. We are striving to maintain our market share without sacrificing price, a strategy that has worked well in the first six months of our fiscal year and we intend to follow this strategy in subsequent quarters. There remains concern over the impact of the economic conditions. We do anticipate we will see some additional bridge and highway work as a result of the stimulus package. Renewable energy projects could provide some growth opportunities as well. The assimilation of our latest acquisition is progressing nicely and it is a natural extension of our served geographic territory. We will continue to look for opportunities for further expansion. Dana will now give us a review of the key operating statistics for the galvanizing segment.
Dana Perry : Revenues in our galvanizing segment for the quarter were $39.6 million compared to $51.3 million recorded in our second quarter of fiscal 2009. Our second quarter revenues were negatively impacted by reduction in volumes of steel produced in the amount of approximately 15% and a reduction in selling price in the amount of 5%. Operating income was $12.3 million compared to $15.5 million in the prior year. Operating margins for the quarter increased to 31.1% compared to 30.2% in the prior year as a result of improved operating efficiencies as well as lower zinc cost. As we have indicated before, results of this segment have followed closely the condition of the industrial sector of the general economy and should continue to do so. At this time I will cover some of our key cash flow and balance sheet items on a comparative basis. For the six month period, cash provided by operations were $36.9 million compared to $12.6 million in the prior year. Our receivable days and inventory turns remained strong. Accounts receivable days outstanding were 51 days at the end of our quarter as compared to 51 days at our fiscal year end. Year-to-date capital improvements have been made in the amount of $7.5 million and depreciation and amortization has amounted to $8.4 million for the first six months. Our total outstanding bank debt remains at $100 million and our cash balance was $72 million at the end of the quarter. At this time I will turn the conference call back over to David for closing comments and then we will open to our question and answer session.
David Dingus : As we stated earlier we are extremely pleased with the operating results of our second quarter and the first six months of our fiscal 2010. The strong margin performance was most encouraging. Our primary concern as we have shared with you and discussed previously is the incoming order rate and the impact it may have on revenues and operating income in the latter part of the current fiscal year and the beginning of our fiscal 2011. Our products and services are extremely well positioned to benefit from any market improvements and with increased infrastructure emphasis and programs. Our lead times are shorter and should provide for more expeditious benefit when the improved market conditions occur. The timing of projects and the release of orders will always have an impact on the quarterly recognition of bookings, backlog, revenue and earnings and will result in quarter-to-quarter fluctuations which may be greater than true changes in market demand and our competitive position and success. Based upon the evaluation available to management we are revising our previously issued guidance for the fiscal year 2010. Our earnings are estimated to be in a range of $3.00 to $3.10 per diluted share and revenues to be within a range of $370-380 million. The previous estimates were for earnings to be within a range of $2.70 to $2.90 per diluted share and revenues to be in a range of $370-390 million. Achievement of these projections would be our 23rd consecutive year of profitability and the second best year in the history of the company. Our estimates assume we will not have any appreciable change in our current market conditions, competitive activity or significant delays in the delivery or timing in the receipt of orders of our electrical industrial products and demand for our galvanizing services. Again, thank you for your participation today. We would like to open it up for any questions you might have at this time.
Operator: (Operator Instructions) The first question comes from the line of John Franzreb - Sidoti & Company.
John Franzreb - Sidoti & Company: My first question, you are pushing back your expectations on the recovery of the backlog. Could you talk a little bit about that? What has changed from three months ago versus your expectations and why are you pushing further back versus one quarter away?
David Dingus : I think it is just the continued delay in the petrochemical market and the industrial market. Our power generation is staying on schedule. Our transmission is staying on schedule and we have not got a real feel for what utility budgets are going to be in the distribution substation market for next year. I think that we are more confident that we are entering a period of more stability in it but I don’t think we will see that recovery until the first quarter. It feels as if we can’t get a feel for what the delay cycle is going to shorten back to normal between quotes and order release. I think it is the same projects out there. It is not a reduced level of quotations. It is not a reduced level of projects. It is just further delays in the order release. We haven’t got the confidence that is going to happen in the third and fourth quarter like we previously thought last quarter.
John Franzreb - Sidoti & Company: What gives you the confidence it is going to happen in the first?
David Dingus : It is the confidence that the customer’s are displaying where they feel that it is [now] that the excellent position most of them are in on the funding side. The improvements in the availability of credit. Just the overall economic confidence. I think it lends people to go forward with these projects they need to do.
John Franzreb - Sidoti & Company: The Galvanizing business had a great quarter again but you have mentioned that zinc prices are going up and you had actually given up 5% on pricing last quarter. When are you going to have to increase prices? What kind of price per pound is it? Can you just talk a little about the environment?
David Dingus : If you take the second quarter and you were to substitute the current replacement cost of zinc versus what we expense to the P&L our margin would have been 28.5% rather than the 31%. That gives you a flavor. If we don’t get the recovery in that then you would see that kind of level change in our fourth quarter margins versus what we got in the second quarter. We are naturally using it as an opportunity to resist more downward pressure and advise customers that we are going to have to make an adjustment in that fourth quarter to do that. Market conditions don’t lead us to believe we will have an across the board success of that. It will be isolated. But that is included in our forecast. Again, as we look back, even if we slid back to 28.5% we are pretty encouraged with that level.
Operator: The next question comes from the line of Ned Borland - Next Generation Equity Research.
Ned Borland - Next Generation Equity Research: Just trying to clarify some of your backlog comments, are you talking kind of stability for the next 6 months or further decline?
David Dingus : Our fourth quarter is always our most difficult quarter even in good market conditions. So we may have a little further adjustment in that period but it won’t be as concerning as some of the discounts we have had up to this point. It will be more of a timing issue. I think we are going to see relatively stable backlog between now and the end of the fiscal year and then start to see some improvement. Like I said, if we see a little further decrease in the fourth quarter than we are forecasting I don’t think I will get terribly concerned but I will put it more on the weakness that we normally have in the fourth quarter. We are expecting relative stability, still fluctuations but not as dramatic as we have had quarter-to-quarter up to this point.
Ned Borland - Next Generation Equity Research: You had two international orders in the quarter. Just wondering how they compare to previous international orders? Are we looking at orders in the $8-10 million range or was it something a little more significant?
David Dingus : The two of them combined were in the $15+ million range. Nice orders. Not the largest we have had nor the smallest. The two of them combined were in the $15 million range.
Ned Borland - Next Generation Equity Research: Basically the push out of backlog stems largely from U.S. customers? Is that the case?
David Dingus : Absolutely. As you noted, that 43% of our current backlog we delivered outside of the U.S. was the highest it has been and our shipment in the second quarter 37% were outside of the U.S. Yes, it is the petroleum and industrial and domestic distribution market that is hurting us so much.
Ned Borland - Next Generation Equity Research: On the margins in electrical and industrial were very impressive. 22%. I am just wondering what was the cause there. Was there a surge in quick turn volume? Was it just a commodity cost issue? What was going on there?
David Dingus : It was I believe better execution on our part. The favorable cost of commodities definitely favorably impacted us. The organization was just extremely focused on the need to execute to the maximum in this down market. The difference is not an unusual amount of short-turn business. It was based on business. I think the volume was up. We got a little help on the leverage side and the cost of commodities played a good role and I give credit to our team for outstanding execution.
Ned Borland - Next Generation Equity Research: So these margins can be somewhat sustainable above 20?
David Dingus : I knew that was your next question. No, we still believe we are in the 19-20% range.
Ned Borland - Next Generation Equity Research: You are sitting on $72 million in cash. What is your acquisition pipeline look like? What kind of things are you looking at there?
David Dingus : Our strategy has not changed on the electrical. It is how do we sell more product to the same project and same customers that we currently are and more geographies in the galvanizing. We are being very selective. We are not leaving our basic strategic approach. We are aggressive. Nothing is moving as fast as we would like for it to of course. We are confident over the long-term we are going to see positives. As I have shared with you before, we would like to see a little more of our revenue stream being in the services side of our power generation and transmission products. As our revenue stream goes up to the commissioning point, we do not have a revenue stream that continues through the life of that power generation plant and we would certainly like to find something in that area.
Operator: The next question comes from the line of Fred Buonocore – CJS Securities.
Fred Buonocore – CJS Securities: Just to kind of drill into what Ned was asking with respect to the margins, not just specifically on the electrical products side but on the Galvanizing side as well, can you just help us understand where it seems like you are continually getting surprised on the margin side lately, or over the last several quarters I guess. I am trying to understand how much of that is maybe just natural conservatism in the face of an uncertain environment? I am just trying to understand. You know what your price of raw materials and inventory would be. You have a decent sense for what your pricing is looking like, granted the execution part is an X factor but clearly you have proven the ability to execute on these projects. I’m just trying to understand on both sides of the business how you are continually surprising and showing such robust margins.
David Dingus : In total for the electrical industrial I will address that first, the very strong margins in the second quarter were part of our guidance that we issued last time. We knew it was going to be our best quarter of the fiscal year. There you are looking at projects in your backlog. There is no doubt that your earlier comment about the uncertainty of the economic conditions, the galvanizing is a day-to-day, month-to-month business. The economic impact in steel, we have an industry where the competitive forces are behaving very rational. That could change if volume gets to a certain level and people start trying to preserve headcounts and preserve capacity utilization levels. We are naturally going to be conservative on our pricing judgments for Galvanizing. That doesn’t mean we philosophically changed. There are a lot of forces; market forces, customer forces and the competitive forces that can change pretty rapidly and pretty significantly in that market. We naturally have to be a little more conservative on that. On the electrical we pretty well know that is coming out of [inaudible.] Now if we do a little better on execution yes we pick up some points there.
Fred Buonocore – CJS Securities: On the backlog side, I don’t know if I am looking at this overly simplistically but assuming you end up the year with your backlog down relative to the end of fiscal 2009, backlog down around 20%, should we extrapolate that or does it make sense to extrapolate that level of decline to what your FY11 electrical products decline would look like assuming your expectations for kind of stability through the second half of the year hold true?
David Dingus : As I have indicated before, we are still within our reaction period that we can offset some of that. Remember when our backlog hit that number of 195 we knew it was coming down and that became part of our focus for 2010. So I don’t think there is a linear relationship from going from 195 to 139 to our 2010 revenues to our 2011 revenues through that because we had built that in. There is no doubt if we hadn’t had a little more encouragement by the end of the third quarter we will see a 2011 electrical revenues that may struggle to equal 2010.
Fred Buonocore – CJS Securities: So in other words if your assessment the second half may be stable with where it is now, you would think you would struggle to equal 2010 or when you say a little bit of encouragement would that just be on the quotation side or would that be bookings specifically?
David Dingus : That would be a shortening of the cycle from quotations to bookings. Our market returning to a more predictable level. If it started doing it in the fourth quarter of this fiscal year and that trend continued I have still got reaction time to buoy up in the third and fourth quarter of 2011 to recover for any shortfall in the first and second quarter of 2011.
Fred Buonocore – CJS Securities: The decent sized project in China for nuclear generation. Was this the generation related product? Was it transmission as you have been successful with in China over the last year or so? With this project was this kind of outside the scope of the stuff some of your larger European competitors have been getting aggressive on?
David Dingus : No, it is very similar to everything else we have been quoting as far as on the transmission side. It was on a new nuclear power plant. The same players. The same type of job that has had some very erratic pricing. It was the very same scenario here. We don’t’ know if they have built up some of their backlog or may have realized their margins in their previous jobs weren’t at their expected levels. Regardless, we are the constant factor here and they came back up to our level and of course our resume has more projects of this type so we won on the evaluation side.
Fred Buonocore – CJS Securities: So in terms of the concern that maybe some of the aggressive pricing practices have resulted in a structural change in the China market, maybe that is not the case and maybe things can go back to where they had been say a year ago potentially?
David Dingus : As long as we underline maybe. I think we can’t take one or two quotes and say it has recovered. I certainly hope that maybe is more definitive when I talk to you at the end of the next quarter.
Operator: The next question comes from the line of Brent Thielman - D. A. Davidson & Company.
Brent Thielman - D. A. Davidson & Company: A question on the acquisitions in Virginia and West Virginia. Can you provide what those contributed during the quarter?
David Dingus : As we indicated in our press release from them the annualized revenue would be and those continued right at the pace that we had anticipated. We are not going to get specifically into location by location for competitive reasons but that revenue range that was in our original press release that is the level they are operating at.
Brent Thielman - D. A. Davidson & Company: When you talk about volumes in the Galvanizing business on a sequential basis, can you talk about what end markets are growing for you as a percentage of I guess where you are servicing to? What end markets are working for you and what aren’t?
David Dingus : The strongest markets and where we see some positive impact of course those are related to the electrical and telecommunications markets. The poles associated with transmission grids. The utility poles to that platform. Naturally where we have been hurt the most is those driven by expendable income or by the general industrial market whether it be general construction or some of our OEM businesses. We have seen a slight uptick in our bridge and highway and then petrochemical while still strong is down from last year and we thought it would be flat from last year. So the most positive we have are some of the work we are doing related to that. As I mentioned the potential for additional work that may come with some of the solar projects if they go forward and we continue to win projects and anything to do with putting up or extending grids has a tremendously beneficial impact on our galvanizing business.
Brent Thielman - D. A. Davidson & Company: On SG&A it was flat on a year-over-year basis despite the fact you added new capacity during the quarter. Can you just talk about what sort of steps you have taken there and which end of the business that is?
David Dingus : Really when you track our SG&A from quarter-to-quarter if you see fluctuations it is normally related to an item that hit in that quarter not a structural change over the year. We have been watching it closely but like I said we have not been in a position where we have been forced to get into a retrenchment mode in our overall structure. We believe so strongly in our long-term markets we are continuing with our programs and our strategic direction on that. I don’t think you will see on an annualized basis any significant change in our SG&A for this year versus last year.
Operator: The next question comes from the line of Tim O’Toole – Delta Management.
Tim O’Toole – Delta Management : I wanted to dig in a little bit more. We have had some discussion already but maybe I can understand some of the dynamics better. Which commodities seem to help most in the I&E segment? Would it have been steel? Did you give back, I guess steel is the one that makes the most sense to me because copper is kind of volatile but still seems to be at fairly high levels historically.
David Dingus : Overall you are right on the steel but there were some shipments in there where we had bought some copper when copper was at a lower price and that was actually put in production and delivered. So we got some help from copper in the second quarter.
Tim O’Toole – Delta Management : Based on a little bit of tactical buying in that case?
David Dingus : Yes.
Tim O’Toole – Delta Management : As you look at some of the bidding you are doing currently and also if you would put a little extra flavor around these international orders, especially if one of them was from that China market which had been a bit squirrelly as you had mentioned in the past. Are you bidding those jobs with a little bit sharper pencil? You mentioned some pricing competition because some folks have excess capacity, for lack of a better term, or are the gross margins as you look at those jobs the ones that you have bid and the ones you are bidding now kind of very much similar to what you have been bidding over the last couple of years?
David Dingus : Very similar to the last couple of years. Very similar. We have done a little bit more in the side of sourcing some of our structural components locally in China, some of our add-on expense type items there. So we lowered our cost a little bit. Not anything that measurable due to lower freight and some favorable there. Overall it is not an abandonment of our approach. We just believe we have the best resume, the best application of those jobs, the best technology and our pricing numbers are correct for the product.
Tim O’Toole – Delta Management : That is helpful. You can only do so much of that but doing a little bit of the local sourcing on steel components or something then that is maybe less critical that would explain a bit of that. You can offer a little bit more of a competitive looking quote and still retain your margins by turning those dials?
David Dingus : Yes.
Tim O’Toole – Delta Management : The other thing I was curious about, I think I know the answer to this question but it doesn’t hurt to ask, a lot of folks at least domestically in industrial related businesses have seen tremendous declines in backlog, orders, etc. You have and your profitability is still very solid but many of those not necessarily competitors but peers, they have taken actions, some temporary and some permanent, to pull costs out, furloughing people, this and that. Your volumes have stayed up so I am assuming you have not done any of those kinds of measures but I think it doesn’t hurt to ask. Have you done any of that kind of thing in this environment?
David Dingus : There has been some reduction of our labor force as we have adjusted the direct side and there have been some cases where the attrition has taken that. If you took our headcount of the August quarter a year ago versus the August quarter this year we have gone from 1,764 employees to 1,714 employees. You are right. There has not been much adjustment. There are a few that were added there in the acquisitions in Virginia and West Virginia. Overall we have not seen any dramatic change in our headcount. Now, if we don’t start seeing some recovery in the third and fourth quarter naturally we are going to have to adjust a little bit more than we have to this date. We don’t classify it as dramatic.
Tim O’Toole – Delta Management : Have the reductions been mostly in galvanizing or has it been a little bit on either side?
David Dingus : It has been on both sides.
Tim O’Toole – Delta Management : The other thing that just occurred to me is that obviously you have been laying in a few acquisitions on galvanizing. How much would volumes be down in Galvanizing on a per site basis or same store basis if you will opposed to, obviously your volumes may be up because you are adding sites via acquisition.
David Dingus : The measurable impact, it was very strategic and we are very glad we did it but it was very small. So I don’t think if you took our appreciable change by market versus that the impact of that you are going to have anything in it. Remember that acquisition is only in our results for one month.
Tim O’Toole – Delta Management : Right. But the one you had done prior which was a decent size one, you had more than anniversaried that, correct?
David Dingus : Yes.
Operator: The next question comes from the line Fred Buonocore – CJS Securities.
Fred Buonocore – CJS Securities: A follow-up on the improving quotation activity. Could you give us a little more color on where those quotes are coming from? You said generation, transmission and distribution. Could you get a little bit more granular on that on the types of projects? Just a little bit more color would be helpful.
David Dingus : It is on the power generation side. We naturally have more quotes outstanding for solar projects than we ever have. We have strong quotes outstanding for wind. We also have increasing quotations on an international basis for expanding and new power generation plants. The transmission of course is primarily internationally based on that. Since we have combined T&D it is the T part that is showing the increase. The D part is pretty flat.
Fred Buonocore – CJS Securities: Those solar and wind generation projects, are these things that potentially could be out more than 12 months? It is kind of my understanding we are still in a period where the go forward with solar and wind projects right now is kind of stretched out as investment in those areas have paused through the downturn and potentially a bit of a hangover effect. Would these be beyond FY11 projects?
David Dingus : Some of our customers are telling us they could hit as soon as eight months from now and some are stretched out. Again, the level of quotation, the level of activity is so much higher than we thought even if it is stretched out it is a positive to that forecast. Some are saying their target date is eight months from now to launch the project.
Fred Buonocore – CJS Securities: Just to clarify, would you say that galvanizing volumes have likely bottomed at this point?
David Dingus : Yes, we feel that way. Going back to the solar projects, you have some solar projects going forward in Florida right now and pretty good sized projects we are working on in that. Yes, we feel that the volume for our total network now is relatively flat. There are still some areas that may adjust a little bit further and some that are going to start picking up a little bit more. We are feeling pretty good that we have reached a plateau level in net volume.
Fred Buonocore – CJS Securities: So we could kind of track it out or think about what our expectations are for GDP and basically use that trajectory?
David Dingus : If we were doing a forecast that would be how we would be doing it right now.
Fred Buonocore – CJS Securities: Since you went back to solar I will go back to solar really quickly. These are new generation projects. Would there be potential transmission opportunities related to those?
David Dingus : Absolutely. Of course what we are working on now is more on the galvanizing side because all that is what is on the front end of the project.
Operator: We show no further questions at this time. I would like to turn the conference back over to Mr. Dingus for any closing remarks.
David Dingus : Again thank you for taking the time today to share with us your comments and questions related to our business model. As I say, we remain very encouraged over the long-term aspects, long-term opportunities and we look forward to talking to you again in three months. Have a great day and a great weekend.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.